Operator: Welcome to the HEICO Corporation First Quarter 2026 Financial Results Call. My name is Samara, and I will be your operator for today's call. Certain statements in this conference call will constitute forward-looking statements, which are subject to risks, uncertainties and contingencies. HEICO's actual results may differ materially from those expressed in or implied by those forward-looking statements. Factors that could cause such differences include, among others, the severity, magnitude and duration of public health threats, our liquidity and the amount and timing of cash generation, lower commercial air travel, airline fleet changes or airline purchasing decisions, which could cause lower demand for our goods and services; product specification costs and requirements, which could cause an increase in our cost to complete contracts; governmental and regulatory demands, export policies and restrictions; reductions in defense, space or homeland security spending by U.S. and/or foreign customers or competition from existing and new competitors, which could reduce our sales; our ability to introduce new products and services at profitable pricing levels, which could reduce our sales or sales growth; product development or manufacturing difficulties, which could increase our product development and manufacturing costs and delay sales; cybersecurity events or other disruptions of our information technology systems could adversely affect our business and our ability to make acquisitions, including obtaining any applicable domestic and/or foreign governmental approvals and achieve operating synergies from acquired businesses; customer credit risk, interest, foreign currency exchange and income tax rates; and economic conditions, including the effects of inflation within and outside of the aviation, defense, space, medical, telecommunications and electronics industries, which could negatively impact our costs and revenues. Parties listening to this call are encouraged to review all of HEICO's filings with the Securities and Exchange Commission, including, but not limited to, filings on Form 10-K, Form 10-Q and Form 8-K. We undertake no obligation to publicly update or revise any forward-looking statement whether as a result of new information, future events or otherwise, except to the extent required by applicable law. I now turn the call over to Eric Mendelson, HEICO's Co-Chief Executive Officer.
Eric Mendelson: Thank you, Samara, and good morning to everyone on this call. Thank you for joining us, and we welcome you to this HEICO First Quarter Fiscal '26 Earnings Announcement Teleconference. I'm Eric Mendelson, HEICO's Co-Chairman and Co-CEO. I am joined here this morning by Victor Mendelson, HEICO's other Co-Chairman and Co-CEO; and Carlos Macau, our Executive Vice President and CFO. We received many nice comments about Victor's extemporaneous remarks as he opened our last conference call to discuss HEICO's 2025 fourth quarter results. So we thought our listeners would appreciate a little insight into HEICO before we discuss HEICO's 2026 first quarter results. Obviously, HEICO's 2026 first quarter results reflect continued growth, and we are very proud of them, especially considering that only 36 years ago, HEICO had only $25 million in revenue, $2 million in earnings and 200 team members. Our dad, Victor and I would often question ourselves, how is our 36-year 23% compound annual growth rate in share price possible, especially when we were rarely leveraged at more than 2x EBITDA. First, we have to thank God for these results. But second, we realized that Dad always had a saying, do the right thing, which was our mantra 24/7 365 for the past 36 years. It wasn't just the same. It was embedded in every single decision, every part sold or repaired, every company acquired and simply everything we did. Obedience to the unenforceable became our DNA from the time Victor and I were small children to now when we are 60 and 58 years old. Doing the right thing means making honorable choices when nobody is looking. It means spending tens of millions of dollars on quality systems, not because our customers or regulators require them, but because we know it's a good investment that protects our brand. It means properly reserving for obsolete or excess inventory, not because our auditors require it, but because we know it's needed and mistakes must be learned from, recognized, learned from and never repeated, not swept under the rug in order to protect reported earnings. These are just 2 of the many things that HEICO has done routinely over decades and why we've never had a onetime unusual charge to earnings, whereby the economic earnings of the upcycle are largely erased following a black swan event and investors don't realize much of the earnings never existed in the first place. Considering our terrific results, we're even more proud of them, given the added cost that many people don't appreciate, but everyone benefits from in the long run. HEICO was built for long-term and sustainable cash generation, which permits our earnings and cash flow to compound decade after decade, not just year after year. We are not into programs of the year, buzzwords or comparing ourselves to others hoping to get a higher multiple on our shares. We're designed for long-term challenging but sustainable earnings increases. I hope this provided a little insight into HEICO's secret sauce as you listen to our first quarter results. Before reviewing our operating results in detail, I want to take a moment to thank and recognize all of the people who made our excellent performance possible. HEICO's sustained growth and consistent profitability result directly from our team members' talent, dedication and hard work. Our team members drive our success and differentiate us from other companies. Thank you all for all of your continued commitment and for contributing to another strong outstanding quarter. We are very proud of the first quarter results, which reflect consolidated margin expansion, record net income and strong increases in operating income and net sales. We remain very bullish and optimistic about HEICO's ability to win new opportunities in fiscal '26 and continue our growth, profitability and strong cash generation legacy. To summarize the highlights of our first quarter of fiscal '26 record results, consolidated net income increased 13% to a record $190.2 million or $1.35 per diluted share in the first quarter of fiscal '26, up from $168 million or $1.20 per diluted share in the first quarter of fiscal '25. Consolidated operating income and net sales in the first quarter of fiscal '26 improved by 15% and 14%, respectively, as compared to the first quarter of fiscal '25. Net income attributable to HEICO in the first quarter of fiscal '26 and '25 were both favorably impacted by a discrete income tax benefit from stock option exercises. The benefit in the first quarter of fiscal '26, net of noncontrolling interests was $21.8 million or $0.15 per diluted share as compared to $26.5 million or $0.19 per diluted share in the first quarter of fiscal '25. By the way, that means we got a higher benefit from the discrete income tax benefit from stock options last year as compared to this year. The Flight Support Group delivered strong results in operating income and net sales, achieving quarterly increases of 21% and 15%, respectively, as compared to the first quarter of fiscal '25. The increases principally reflect strong organic growth of 12%, driven by increased demand across all of Flight Support Group's product lines as well as the contributions from our fiscal '25 acquisitions. The Electronic Technologies Group net sales improved 12% as compared to the first quarter of fiscal '25. The increase principally reflects strong organic growth of 6%, driven by increased demand across most of our products as well as contributions from our fiscal '25 and '26 acquisitions. Cash flow provided by operating activities was $178.6 million in the first quarter of fiscal '26. Operating cash flow for the quarter was negatively impacted by distributions of approximately $22.7 million to a long-term team member over 40 years and participant in the HEICO Leadership Compensation Plan, the LCP. The LCP is fully funded and all sources of cash for these distributions are derived from investments in corporate-owned life insurance policies, which are considered investing cash inflows within our statement of cash flows. As a result, the LCP distributions are not an actual use of cash. We will have another large LCP distribution during the remainder of fiscal '26 of approximately $73 million, which will negatively impact operating cash flows. However, since the LCP, as I said, is fully funded, the distribution will continue to be net cash neutral to HEICO. Consolidated EBITDA increased 14% to $312 million in the first quarter of fiscal '26, up from $273.9 million in the first quarter of fiscal '25. Our net debt-to-EBITDA ratio was 1.79x as a result as of January 31, '26, as compared to 1.6x as of October 31, '25. The increase in our leverage ratio is a direct result of the successful completion of an acquisition during the first quarter. Acquisition activity in both operating segments remains very strong with a very healthy pipeline of opportunities. We continue to target complementary businesses that align strategically and financially, focusing on disciplined accretive transactions that enhance HEICO's long-term value. In January 26, we paid our regular semiannual cash dividend of $0.12 per share. This represented our 95th consecutive semiannual cash dividend since 1979. Now I'd like to take a moment to discuss our recent acquisition activity. In January, our Electronic Technologies Group acquired 100% of Axillon Aerospace's Fuel Containment Business, which was renamed Rockmart Fuel Containment. Rockmart designs and manufactures advanced fuel containment solutions, primarily for military fixed and rotary wing aircraft. The purchase price of this acquisition was paid in cash using proceeds from our revolving credit facility, and we are very excited that Rockmart has joined the HEICO family, and we are very excited about their future contribution to HEICO's earnings. Earlier this month, the Flight Support Group acquired 100% of EthosEnergy Group Limited. Ethos provides repair solutions for engine components and accessories for various industrial gas turbine, aeroderivative gas turbine, aerospace and defense engine platforms. I'm sure everyone on this call is keenly aware of the tremendous increase in demand for power caused by the exponential demand in AI or artificial intelligence and LLMs or large language model adoption. And this power is largely expected to be created through the use of industrial gas turbines and aeroderivative gas turbines. HEICO is obviously excited to enter this market and bring our technical capability and OEM relationships to serve this growing power demand. And we believe HEICO's acquisition of Ethos provides us with the perfect platform to sell our high-quality repair solutions to satisfy these rapidly growing needs. The purchase price of this acquisition was paid with a combination of cash using proceeds from our revolving credit facility and shares of HEICO Class A common stock. And this week, the Flight Support Group entered into an agreement to acquire 80% of the stock of a company that provides a range of services for commercial aviation and defense component platforms. Closing is subject to governmental approval and standard closing conditions and is expected to occur in the second quarter of fiscal '26. The remaining 20% will continue to be owned by certain members of the seller's management team. We expect these acquisitions to be accretive to our earnings within the year following the acquisition. I now turn the call over to Victor Mendelson, HEICO's other Co-Chairman and Co-CEO to discuss the first quarter results of our Flight Support and Electronic Technologies Groups in further detail.
Victor Mendelson: Eric, thank you very much. Before we get into the details, I echo what Eric mentioned at the outset of the call and thank our team members, the HEICO team members. The results we're discussing today are a direct reflection of their talent, their discipline and commitment to execution. Their collaboration and focus on excellence in all they do and all we do is truly inspiring. The Flight Support Group's net sales increased 15% to $820 million in the first quarter of fiscal '26, up from $713.2 million in the first quarter of fiscal '25. The net sales increase in the first quarter of fiscal '25 stems from strong organic growth of 12% and the impact from our fiscal '25 acquisitions. The organic net sales growth reflects increased demand across all of our product lines. The Flight Support Group's operating income increased 21% to $200.7 million in the first quarter of fiscal '25, up from $166.1 million in the first quarter of fiscal '25. The operating income increase in the first quarter of fiscal '26 was principally driven by the previously mentioned net sales growth, SG&A expense efficiencies realized from the net sales growth and an improved gross profit margin. That improved gross profit margin principally resulted from the previously mentioned higher net sales and a more favorable product mix within our repair and overhaul parts and services product lines. The Flight Support Group's operating margin improved to 24.5% in the first quarter, very impressive in the first quarter of fiscal '26, up from 23.3% in the first quarter of fiscal '25. The increased operating margin in the first quarter of fiscal '26 principally reflects a decrease in SG&A expenses as a percent of net sales, mainly reflecting the previously mentioned SG&A expense efficiencies and improved gross margin. Acquisition-related intangible amortization expense consumed 260 basis points, approximately 260 basis points of our operating income in the first quarter of fiscal '26. So the FSG's cash margin before amortization, or EBITA, as we call it, was approximately 27.1%, which is excellent and has been consistently excellent and is 110 basis points higher than the comparable FSG cash margin of 26% in the first quarter of '25. Obviously, we are very, very happy with the continued operational excellence and improving cash generation demonstrated by the businesses in the FSG. Now turning to the first quarter results for the Electronic Technologies Group. The group's net sales increased 12% to $370.7 million in the first quarter of fiscal '26, up from $330.3 million in the first quarter of fiscal '25. The net sales increase was occasioned by strong 6% organic growth and the impact from our fiscal '25 and '26 acquisitions. The organic net sales growth is mainly attributable to increased sales of our aerospace and defense and other product -- electronics products, partially offset by a decrease in space product sales. The Electronic Technologies Group's operating income was $73.2 million in the first quarter of fiscal '26 as compared to $76.5 million in the first quarter of fiscal '25. That operating income decrease principally reflects a decrease in gross profit margin, partially offset by the previously mentioned net sales growth. The decrease in gross profit margin, and this is important, resulted from a less favorable product mix of defense products and the previously mentioned decrease in net sales of space products, partially offset by the previously mentioned increase in net sales of our aerospace products. As you know, quarterly margin variability in our ETG is consistent with the group's history, and there are periods in which shipments of lower, though not low margin products are a greater proportion of our sales than in other quarters, which is predominantly based on shipment schedules. Based on our backlogs and our shipment plans, we expect the ETG margins to improve as the year progresses, particularly in the second half of the year. The Electronic Technologies Group's operating margin was 19.8% in the first quarter of fiscal '25 as compared to 23.1% in the first quarter of fiscal '25 -- excuse me, 19.8% in the first quarter of fiscal '26 as compared to 23.1% in the first quarter of fiscal '25. The decreased operating margin principally reflects the previously mentioned lower gross profit. And you may recall that we experienced similar unfavorable mixes from time to time, including the first quarter of fiscal '24 and the rest of the year was quite healthy for us, and we're expecting the same kind of thing this year. Importantly, before acquisition-related intangibles amortization expense, our operating margin was approximately 24% as intangibles amortization consumes over 410 basis points of our margin is, as you know, how we judge our businesses, and it most closely correlates to cash. On a true operating basis, these are still excellent margins even though we would not be satisfied with them on a full year basis. The ETG's strong margins resulted in another record backlog, demonstrating both strong demand for our products and robust end markets. Our shipments and shipment mix are typically uneven during the course of the year. We experienced some of that unevenness in our shipment mix this quarter, which was not a surprise and is a pattern we've often discussed on these calls and elsewhere. We are pleased with the quarter's organic growth and are particularly excited about the opportunities in defense, commercial aerospace and space for the remainder of fiscal '26. And I should add that this optimism is supported by the record backlog and increasing order volumes we've experienced. Thank you, and I turn the call back over to Eric.
Eric Mendelson: Thank you, Victor. Our team is filled with optimism as we look at the remainder of fiscal '26. We expect continued sales momentum in both Flight Support and the Electronic Technologies Group, supported by organic demand for our products, together with the impact of recent acquisitions. The current pro business agenda in the United States continues to align well with our long-term goals, providing key markets like defense, space and commercial aviation with a very strong tailwind in funding. We remain focused on pursuing selective acquisition opportunities that align with our growth strategy. Our disciplined focus to financial management continues to emphasize long-term shareholder value through a combination of strategic acquisitions and organic growth while preserving financial strength and flexibility. Acquisition activity remains extremely robust across both business segments, supported by an outstanding pipeline of potential opportunities currently under evaluation. Our acquisitions teams are busier than ever working on these potential transactions as one of HEICO's core strengths is identifying high-quality businesses that complement and reinforce our strategic positioning. We believe HEICO is the preferred buyer for sellers seeking a great home for their businesses. Consistent with our long-standing acquisition philosophy, we will only pursue opportunities that meet our strict financial and strategic criteria are accretive and have the potential to generate durable long-term value for our shareholders. We thank you for listening to this call. And now, Samara, if you'd like to open up the floor for questions, we're happy to answer them.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Larry Solow with CJS Securities.
Lawrence Solow: Great. I guess first question for Victor. Just I think maybe the ETG putting a little pressure on the shares this morning. It sounds like -- and I know you referenced Q1 '24. It sounds like the mix issue is completely temporary. It was a pretty significant sequential drop, but any more color on that, your backlog, I guess, the mix. It doesn't sound like you have any termination and we could bounce right back to that low to mid-20s range for the year. Is that fair to say?
Victor Mendelson: Yes, I think that's absolutely right. That's our expectation. And based on the shipment schedules and what we have, that's what we're expecting. And it isn't unusual for us to move around. It may be lower than the average. But we get -- sometimes we get the perfect storm of good shipment schedules and sometimes we got the perfect storm of unfortunate shipment schedules. But -- and that's why we really guide people to look at the full year on the ETG, particularly as it moves on throughout the quarters. And the experience we had on this was in multiple different products and subsidiaries, as I said, sort of the perfect storm on the downside, if you will, on margins, very heavily mix related, extremely heavily mix related. And right now, what we have scheduled for shipments and what our subsidiaries are showing on the -- as the year wears on is pretty exciting. Of course, we'll have to see. There are no guarantees, I always say in life. But right now, I'm feeling good about what our companies are telling us, feeling very good about what our companies are telling us.
Lawrence Solow: Right. And it feels like a great environment for a lot of your companies, right, in the defense side for sure.
Victor Mendelson: Yes. I mean if you look at our orders and you look at our backlog in the group and how it's been growing, it's very exciting. And the mix of what's been growing is a nice mix overall. So feeling good about it. Nothing is ever easy, but feeling good about it.
Lawrence Solow: Yes, sure. And while I got you a pretty nice sized acquisition, the Axillon, I guess, you renamed Rockmart Fuel. I think it's your third largest ever in HEICO history. So any more color on this? Is this your usual sort of type multiple and accretion we should expect over time?
Victor Mendelson: It's a very nice business. It is a -- it's a supplier and has done a lot of business with one of our other subsidiaries, Robertson Fuel Systems. We -- they will be operating separately, but there's a lot that they can do for each other in terms of production, smoothing out production as well as new designs and being pretty innovative for our customers. And so that will actually -- that is reporting to the Robertson business to keep things very streamlined and easy. I think it's -- we expect that to be -- it has been growing. We expect it to continue to grow. There's a big aftermarket, if you will, cycle to it replacement cycle that appears to be growing. We appear to be in the early innings of that. So we're pretty happy with it. As we said, we expect it to be accretive to earnings in the first year of ownership. We've only owned it for about a month. So, so far, so good. But I won't declare victory or anything else based on 1 month. So right now, feeling pretty good about it.
Lawrence Solow: Great. If I could just one quickly for Eric. Just the organic growth, still very strong at 12% on a difficult comp. I'm just curious, historically, Q1, you usually have seen some seasonal slowdown. We haven't in the last couple of years in the recovery and growth on the aerospace side. But just curious, any thoughts on -- are we maybe just getting into a little more normal seasonality where Q1 actually drops a little bit from Q4, which we hadn't seen in a couple of years, but we used to see if we go back.
Eric Mendelson: Larry, thank you very much for your question. I mean, you're absolutely correct. I mean, in general, if you look last year, Q1 was the lightest organic growth, likewise in 2024 as well. I'm particularly proud of these results given the high comps that we had in the prior years. We had very high comps basically for the last 4 years and to post 12% organic growth on top of them, I think, is really outstanding. And if you will, we didn't stuff the channel. There's a whole bunch of inventory that could have gone out which didn't go out for various reasons. But we're very careful to make sure that we do what the customers want. I'm very happy with these numbers. I think they reflect very well on the group.
Operator: And we'll take our next question from Peter Arment with Baird.
Peter Arment: Nice results as usual. Victor, maybe we could just drill in a little bit to try to understand the space kind of mix. I know in the past, it's been a nice margin contributor for ETG. But could you describe a little bit? I think you were a little more GEO-oriented versus like the LEO market. Is that still true just given the overall mix and just how you see the overall kind of setup for HEICO, given all the demand for LEO market?
Victor Mendelson: Yes. It's a very good question. Originally, the business was more heavily GEO -- and over time, I would say now we're more heavily LEO. And that -- in the businesses that were GEO originally, shifting to LEO isn't cheap, right? The margins are less. There's a lot of different product design and R&D that goes into that. And -- but that -- I think we're getting through, if you will, sort of the other side of that over the course of this year. And we still have a pretty good offering for GEO, but we go where the customers are, and that's really the LEO market. And we have some great businesses with very strong margins in LEO, too, by the way. Actually, I think now some really strong margins there. So -- but that, as you may recall, too, has been a very uneven -- very, very uneven business, I mean, from quarter-to-quarter. And we like space, but we're not going to be too much of a space company for that reason. And you probably noticed that. We've limited. We've been careful how we've grown in space for that reason.
Peter Arment: Got it. I appreciate the color there. And then, Eric, just briefly, can you give a little commentary there a competitor bought a PMA business. And obviously, you guys still, I think, are kind of the leader in PMAs. Is this a deal that had overlap with you? Or how should we view that?
Eric Mendelson: Thanks, Peter, for your question. Well, you know how the old saying goes, imitation is the highest form of flattery. And for years, when we started doing this, people thought we were crazy to be in the PMA business. And then they thought we were crazy to be in the repair business and distribution and all the things we did. And those people who were smart enough to invest in HEICO did extremely well. So we think this is a sign that the PMA market is incredibly strong, and there are a tremendous number of PMA candidates out there. People have asked me, what does this mean for HEICO's competitive positioning? And we feel very strongly about HEICO's competitive positioning. We have a -- we've been running this company for 36 years, and we've always focused on the customer and always focused on generating value for the customer. And I would venture to guess we probably have the best customer relationships in the entire industry. And I don't anticipate that to change. And that's because we add value, we do what we say we're going to do, and people know when they work with HEICO, they're getting a top quality product. So we still have a tremendous presence in that market. We are totally committed to it. And I think it shows that others are recognizing the value of the PMA business.
Operator: And we'll take our next question from Ken Herbert with RBC Capital Markets.
Kenneth Herbert: Yes, Eric, maybe just wanted to follow up on your just comments there. I think there's a belief that PMA represents one of the real secular growing markets coming out of the pandemic as the industry continues to face a lot of service challenges. Can you just maybe comment from an industry perspective, what kind of growth you're seeing in PMA and where maybe you see specific opportunities for HEICO, either in markets you typically haven't been in or maybe with customer sets or any other ways you look at the market to help us better frame how PMA is actually really doing broadly and for you, obviously, here as we continue to see the recovery.
Eric Mendelson: Yes, Ken, I would be happy to answer that. And first of all, I really recognize you as you were one of the early -- one of the analysts who very early on figured out that what HEICO was doing in the PMA space was going to be very successful, both to the airlines as well as for our shareholders and team members and those who followed your advice have profited handsomely. We are very committed and have never been more excited about the PMA business than we are today. We are -- we've got roughly 20,000 different parts. It is a huge catalog and a huge competitive advantage because when we want to develop a new part, I mean, there's very little stuff in this world, which is truly, truly new to us. We've got this catalog. We're able to go back and reference the drawings, the specifications, the vendors, the manufacturing processes and the barrier to entry is tremendous in doing that. So what we really need is greater acceptance at the airlines. And we've spoken about this for many years, why don't the airlines buy even more? And why don't they push us to buy even more. We're very happy with what we've done, but why isn't it even more? And I do think, to your point, that coming out of COVID, they recognize what we've said all along that PMA isn't only about price. It's about turn time and making sure that you've got an alternate vendor and you have the part on the shelf. I have got tremendous respect for all of our competitors who supply parts to the industry. It's a very hard thing to forecast the demand for a particular part. You never know what it's going to be, and it depends on so many things, including the type of build that was done by either the airline or the repair station at the prior shop visit for the engine or the component. If times were good and they had plenty of money and then they put a lot of new parts in, then when the component comes back, you're not going to need a lot of parts. But if times weren't good and they did the minimum, then you're going to need a lot of parts. And the problem is for all of the vendors, it becomes extremely difficult to forecast in that situation. So what we've always said is that HEICO provides not only top quality and outstanding value and cost savings, but we also provide availability. And this is something that has become front and center since COVID. So we're happy about that. When you look at the -- you asked specifically the products that we're doing, our sales in the PMA business are roughly 3/4 non-engine, which would be components, airframe, interior and about 25% engine. Our engine business is at a record level. We are doing extremely well. We are developing more engine parts. The airlines want us to develop more engine parts. I think you've written about the cost of engine overhaul and the cost to overhaul some of these new engines is significantly higher than the cost to overhaul some of the existing engines. So we think that there's going to be tremendous opportunity for us throughout the entire value chain. And I don't want to pick on just engines, but on components as well. The newer components are extraordinarily expensive. I mean they are off the charts nuts on the prices that they are charging. So I think that HEICO is going to do extraordinarily well. in our PMA and repair businesses as we help airlines reduce their costs and keep them somewhat manageable and provide an alternate source of supply. I can't get into obvious specific product types or manufacturer types for competitive reasons. We'd rather just go do our thing and satisfy the airlines.
Kenneth Herbert: Yes. I appreciate all the color, Eric. Just to put a finer point on that.
Carlos Macau: I might just add to what Eric just said, just to maybe put a few leaves on the tree, if you would. Our organic growth in our aftermarket business, which is our parts and repair business was up organically in the teens and Specialty Products is in the high single digits. So to echo what Eric said, I mean, our end markets in aerospace are very robust and our guys are executing. I just thought you might find that nugget helpful.
Kenneth Herbert: I appreciate that, Carlos. And maybe just to put a finer point on it. Historically, the argument was the lessors and maybe some of the emerging market airlines didn't use PMA much. Are you seeing any shift in customer types and adoptions?
Eric Mendelson: Yes. We are seeing shifts in customer types and adoptions. The airlines recognize they need this. I'm aware of all sorts of activity and initiatives, which I'd rather not call out on this call for competitive reasons, but we think that they are going to benefit HEICO tremendously.
Operator: And we'll take our next question from Sheila Kahyaoglu with Jefferies.
Sheila Kahyaoglu: Maybe my first question, I just wanted to clarify something I joined later on the call. With Ethos, was it paid through A Class shares? And Eric, how do we think about those distributions happening because I think you were mentioning it. And why was it A Class versus the common stock?
Eric Mendelson: Yes, I'd be happy to answer. So most of the consideration was cash. So I think it was roughly -- Carlos knows the exact percentage, but I think it was over 80% in cash, if I'm not mistaken. Carlos, is that correct?
Carlos Macau: That's correct. It was a small quantity of A shares, and they wanted to feel like owners. It was their request.
Eric Mendelson: They -- yes. And look, sometimes we do this because people are very happy to own the HEICO stock. The request was for A shares. So that is why we granted the A shares, and that was the concept there. But we're very excited about that acquisition.
Sheila Kahyaoglu: Okay. Got it. No, it certainly seems like the right end market to be in. And then maybe, Victor, one for you. As we think about ETG profitability going forward, I know it ebbs and flows. Is there any way you could bridge us on the margins in the quarter and like how to look forward?
Victor Mendelson: Look, we continue to expect 22% to 24% GAAP margins in the business, which is 26% to 28% over the course of the year. So you're going to have quarters that are above and below that amount, which is, again, historically the case. I mean there's nothing new to this. I try to remind people this as often as possible that there will be variability in the margins and the growth rate of the ETG. There's nothing that's changed. There's nothing that's fundamentally changed in the business. Thank you, Sheila.
Eric Mendelson: And by the way, Sheila, just to expand on what I said about Ethos, the sellers recognized that this market was really a tremendously growing market. And for them to part with one of the foremost repair and overhaul shops focusing on industrial gas turbines and aeroderivative gas turbines, they really wanted to be compensated. And the request for HEICO A shares was in order to help reward them. We're very excited. Everybody is very knowledgeable about what's going on in the power generation space. And Ethos has incredible capabilities in developing and executing on parts repairs, component repairs and the access to that market. They've got 3 different facilities, in Connecticut, South Carolina and Aberdeen, Scotland. So they've got great access to the market, great people, great technology. And by putting it with HEICO, I think that it's going to provide HEICO with the ability to access what is, as you know, a tremendously growing market. So the A shares were just a component, if you will, a sweetener because if they're going to part with what we think is an incredible asset, they wanted something additional. And we were able -- the other thing which is important, it's very easy to buy companies, but to buy companies at prices where it's accretive is using cash is extremely difficult. And we were able to get this deal done at a reasonable price and the A shares were part of that enticement.
Operator: And we'll take our next question from Scott Deuschle with Deutsche Bank.
Scott Deuschle: Victor, there's some elevated inflation right now in certain parts of the microelectronics supply chain, particularly for memory. So I was wondering if you could speak to what ETG is seeing there and if you expect to see any margin pressure there either now or in the future?
Victor Mendelson: Thank you, Scott. It's a good question. We're definitely experiencing that elevated inflation rate in some of the components. We typically are able to pass those on to our customers. I think they accept that. They understand that. But there is a lag effect, and that does take some time. You've got to work off the POs and items that are in the backlog. It is what I would consider a headwind, but more in the noise level and not particularly notable. And by the way, it varies business by business. But overall, on a consolidated basis, more in the noise level.
Scott Deuschle: Okay. Are you generally able to get all the product that you need? Like is supply chain itself a limiter? Or is it just a cost issue?
Victor Mendelson: I would say it's essentially normal, what it's been outside of that supply chain crunch, which is to say that there's always something. There's always a hot list item that's late and kind of holding things up somewhere in the system. And -- but for the most part, everything is running normal. So it's kind of like airline schedules on a typical day. There are a certain number of delays, and that's kind of how it's running now.
Scott Deuschle: Okay. And then for Eric, do you see any opportunity for AI to help accelerate any of the maybe reverse engineering analysis for PMA and the speed at which new products can be brought to market? Or alternatively, do you think AI could help yourself for your airline customers better query parts catalogs and identify new maybe previously unexplored PMA opportunities? Just trying to better understand how HEICO can use AI to sustain or even accelerate growth.
Eric Mendelson: Yes. That question has a lot of insight. And I think the answer is definitely with regard to both developing new parts, streamlining processes. I was just up at one of our subsidiaries last week, and they showed me there was a certain process in our quality acceptance area where we had multiple documents and multiple forms had to be filled out, and they were able through AI to come up with a revised process, which is significantly more efficient than what we were doing before. So we're already using it in the operations at HEICO. As far as the engineering, I think there is a lot of opportunity there, and it is as well being used over in the engineering process. And I agree with you for customers to be able to figure out what they need to buy and look at the HEICO performance rate, our quality rate, our quality rating, how happy everybody is with us. I think that it will be a continued tailwind for HEICO. I mean there's no reason why customers aren't buying more of our product line. And I think AI will accelerate our growth.
Operator: And we'll take our next question from Ron Epstein with Bank of America.
Ronald Epstein: Just as a follow-on here. If you look at some of the evolving contract structures that are going on with some of the big defense primes in particular, the 7-year framework agreements, so far, we've seen a handful of Lockheed, a bigger handful with RTX -- what kind of impact do you expect that to have on you guys, if at all, where potentially you could get visibility on contracts out maybe 7 years? And how does that impact your business? And how are you thinking about it?
Victor Mendelson: Yes, Ron, good question. We think it's a net positive. We have a number of companies that supply on a lot of those programs. So it's something that gives us nice visibility into the future, helps us plan better. And on capacity, we've got really good capacity availability. It's usually a question of hiring people and bringing more people in and figuring a way to do that in different shifts. So overall, I think that's a net positive for us.
Eric Mendelson: And also just to add to that, in the Flight Support Group Specialty Products division, we think that, that's going to have a very good impact because we've got -- we produce a lot of these different components and having the advanced visibility into what's coming down the road is going to be extremely helpful. And that's been a good tailwind for that business as well with record backlogs for missile defense products.
Ronald Epstein: Got it. Got it. Got it. And then we've talked about some supply chain stuff. I mean, have you had any impact from critical minerals or magnets or whatever else and how you've been managing that in places where you do?
Victor Mendelson: Yes, it's very, very minimal. It has not been a significant issue for us. And so far, we do not expect that it will become one. And in fact, there could be opportunities for us as a result of that when some of the new supply comes online in the U.S. vis-a-vis acquisitions and things of that nature, but that's further down the road.
Ronald Epstein: Got it. Got it. And then maybe one more, if I can, to both of you guys. What are you seeing broadly in the acquisition market around valuation and so on and so forth? I mean as you both know, no doubt, the sector has gotten pretty hot. And how is that impacting how you're looking at valuations and how you can do M&A going forward where it is accretive in the framework of time that you guys like?
Victor Mendelson: Yes. So Ron, it's definitely pushed multiples up over a long period of time. It isn't anything new, maybe a little bit more than historically. For us, certainly, that's why we're working so hard to make sure that we do as well as we've done in the past. And one of the important factors with us, I think, is the seller. And is the seller someone who's looking for something unique, particularly a good home for the business, someone who's going to retain the legacy and the operations in a similar capacity as operated in the past. And that gives us a really big advantage we've discovered historically. It doesn't mean we're going to buy everything we want, but it means there's a very nice pipeline. We have to count on a little more future growth, I think, and believe in the growth stories a little more than we used to. And so we're spending more time doing that to ensure that we think we're going to get the growth out of the businesses that's estimated.
Eric Mendelson: And then also just to add to that for a moment, Ron, as we mentioned, our acquisition teams are busier than ever. Their pipelines are full. I would expect additional acquisition activity this year. I think our shareholders, my guess is they're going to be very happy about what we're doing. And the other key thing is that, as Victor said, by differentiating ourselves and providing the best home for the seller, that has tremendous value. It's very easy to go out and pay high prices and win an acquisition. It's another thing to make it work financially. And HEICO has very rigorous cash flow requirements. And we model each deal on its own, where it's got to support its own debt service, its own working capital needs, et cetera. And that's how we've been able to compound. You don't compound by going out and paying crazy prices for something. You compound by buying something that can stand on its own and is very reasonable. And when you look at the -- some of the prices of switching topics for a moment of some of what I believe are the defense tech businesses, I think they're extremely exaggerated. And we look for businesses that generate cash now and in the future and paying extremely high multiples for something that really doesn't generate cash is just not what HEICO is about and not what we plan on doing.
Operator: And we'll take our next question from Scott Mikus with Melius Research.
Scott Mikus: I was curious, do you have a sense of how inventory levels are at your airline customers? Because you mentioned that you didn't want to stuff inventory into the channel. And then I was also curious, within your distribution businesses, have there been any noticeable changes over the past several quarters in how fast they are moving inventory as the pace picked up as airlines prep for the summer travel season?
Eric Mendelson: Yes. The -- I would say the inventory levels are very consistent to what we've seen in the past. There are certain parts which they can be overstocked on, other parts where they're understocked on. But in general, there hasn't been a big change. As far as our distribution businesses, we've done extremely well. They are extremely busy, supporting the demands of the aftermarket. And -- but I really sort of see it very much as business as usual and not much of a change for HEICO there.
Scott Mikus: Okay. And then thinking back a year ago, a lot of us were asking about DOGE and how that could benefit your business. We're now 1 year into the current administration. So have you started to see the Pentagon get the ball rolling on acquiring more alternative parts to both reduce maintenance costs and improve readiness rates for military aircraft. Are they at least doing it on the derivatives like the P-8s and KC-46s?
Eric Mendelson: We've seen some movement there, yes. We always said that this would be a medium-term project. It's very hard to get things fully moving at the speed that we would like. But we are seeing good progress there, and we do anticipate further progress to come. So we feel very good. You look at the President's defense budget and something's got to be a bill payer for these tremendous increases. And this is very logical. And I think what the Secretary of War is doing makes a lot of sense, and they just can't keep on paying these high prices. So I'm still very optimistic in that regard.
Operator: And we'll take our next question from John Godyn with Citi.
John Godyn: Eric, I wanted to follow up on the energy business and Ethos and what you're doing there. You offered a number of data points and breadcrumbs. We see different companies across A&D attacking this in different ways. I just wanted to talk about it big picture, but the types of questions on my mind are, did you kind of go down this path based on reverse inquiries from customers? What types of components do you expect to supply? Is it based on your existing SKUs? Or do you think that you're going to develop new SKUs? There are so many questions here. I can't go through all of them, but I just wanted to give you a chance to kind of talk through this a bit more.
Eric Mendelson: Sure. Thank you. And I think that's a great area, which frankly, hasn't been focused on by a lot of people. We thought that this would be a great market. If you look -- we've been working on Ethos now for approximately a year. So we started that project a year ago. And we saw what was going on in the industrial gas turbine space and to a lesser extent, the aeroderivative. And we thought that this would be a very strong area. So we went out very aggressively to work with the seller and come up with a deal that made sense. I think we also developed a very good relationship with the operating folks at the businesses, and we were definitely their preferred buyer. As far as the aeroderivative connection, I mean, that makes a lot of sense. Everybody is very familiar with what HEICO does and really what we can bring to some of the aeroderivative parts should customers want that as well on the industrial gas turbine parts. Both on the IGT and the aerooderivative, Ethos has very strong OEM relationships. And they have -- they're approved by various OEMs to support those products, and they've been doing so for a very long time. So we are going to continue to support those channels and not offer an alternative if there is an OEM relationship there. Where there aren't OEM relationships, we'll try to form them with different companies. And if not, we think that there is very good opportunity to continue penetrating the markets there. There's just a huge demand. I mean you see what's going on with all the power companies. And Ethos has an extremely wide array of products that it services. It does blades, veins, all sorts of various static parts, rotating parts, components. And we think that their technology lines up perfectly with ours, and we are super excited to have made this acquisition, and we think that it's going to be extremely successful and a great entree for HEICO. If HEICO were to try to enter the industrial gas turbine or the aeroderivative market on its own, it would be extremely difficult. We didn't have much of a relationship with those customers. And here, Ethos has been an incredible supplier for decades with these companies. Actually, Ethos, the genesis of it is it used to be the Wood Group Aero accessories and components group. So they have decades of working with the energy companies and the turbine suppliers. So we think we've got a great platform to leverage and move forward.
John Godyn: And this is such a big market. I'm just kind of -- this is a very big picture question, but do you see this as something that could become so large for HEICO over -- in the fullness of time that as symbolically, we might even have an IGT segment, a third segment for the first time or something like that? Could it be that big?
Eric Mendelson: That would be very aspirational. So I don't want to get over my skis here and promise that, but we do have very high expectations for the business. It really -- I would say it's in early innings right now. The company has got great capability, great people, 3 locations. And I hope what you're saying is correct, and I'm sure that our team members at Ethos and at Wencor are listening to this call, and they are inspired by your question and outlook for it.
Operator: And we'll take our next question from Matthew Akers with BNP Paribas.
Matthew Akers: Most of mine have been asked already, but I wanted to just touch on the balance sheet and just how you feel 1.8x leverage, obviously, has come down quite a bit since went. I think historically, you've been a little bit lower. So just how you feel -- are you comfortable at this level? Would you prefer to be lower? It sounds like there's a lot of potential M&A deals in the pipeline. So just kind of how you're thinking about the balance sheet here.
Carlos Macau: I'm happy to take that question. Our leverage right now is under 2x. So I'm very comfortable at this leverage point. And I expect that what we've done in the past will continue in the future. We'll continue to use a line of credit as a primary vehicle for funding acquisitions, which then affords us the opportunity to quickly pay that down and reload for the next deals. And so we'll still use that type of a structure. Right now, our permanent debt or the bonds that we have are running less than 1 turn of EBITDA. So I think our capital structure is quite flexible, and we're not capital constrained. So from a balance sheet perspective, we could go higher on leverage. I think if we did that, it would be very opportunistic and there would have to be a pathway to generate significant cash to bring us back down in the 2x, 2.5x leverage ratio. I mean I would think that, that's something that's doable for us. I don't think HEICO is going to be a 7x levered business. That's not in the cards for us. But I'm not going to rule out for an incredibly good acquisition. If we went to that level and had a pathway to get back down into the 2s over a reasonable period of time, we would certainly consider that and execute on if it was good for our shareholders.
Matthew Akers: That's helpful. Yes. And then I guess just one on ETG. I guess, was the government shutdown at all related to any of the mix impact that you guys discussed in the quarter? Or is that not the driver?
Victor Mendelson: That wasn't the driver. It did have some impact a little bit, stuff shifting out. And so we'll pick up the benefit of that later on in the year, but I wouldn't call it a material impact.
Operator: We'll take our next question from Gavin Parsons with UBS.
Max Miller: You have Max Miller on for Gavin. It's pretty clear that a lot of the tightness in the aftermarket and some of the OEM pricing you're seeing actually increases the value proposition of a HEICO alternative. If we hypothetically flip that script, what are the implications for HEICO in a world where maybe some new aircraft come online, some of the older platforms come out of the fleet and aftermarket or at least the fleet age begins to normalize a little bit. Does that change the math for PMA utilization and where you see HEICO thriving?
Eric Mendelson: We don't think so. I mean our business is always impacted by, first and foremost, the growth in fleet hours or available seat miles. And then it is the subcomponents of that are you look at the age of the aircraft. I mean, you've got this 20-something thousand aircraft fleet, which is aging 1 year per year. And the OEMs do a really good job of making sure that they escalate prices very aggressively to make up for any of that -- to take advantage of that. And then when you look at the fleet retirement, that typically hasn't been a big part of the equation. But it is something that we continue to look at. There are also -- I think there's a very big opportunity for all of these new aircraft that have been delivered roughly over the last 10 years, the price of the spares on those aircraft is significantly higher than on the spares on the aircraft that they replace. So if you look at line for line, the same line LRU on an older aircraft versus a newer aircraft, the newer ones are significantly more expensive. So all of this is to say, I think -- I agree with you. I think our value proposition increases substantially. And I think that we're going to be in a very good place. We're already taking advantage of the opportunity in a lot of these markets, and I think that will continue.
Operator: And we'll take our next question from Michael Ciarmoli with Truist.
Michael Ciarmoli: Maybe quickly, Eric, just to go back to John's energy line of questioning, and I don't know if this is a quick one or a conversation for a bigger conversation for another time. But the CFM56 and its potential use in the power generation market, you've obviously got a lot of content on some of those legacy platforms. Should we expect that assuming it gains traction in the energy marketplace, can that be a significant tailwind in terms of those platforms generating a materially more amount of parts, thinking that they've got life after or additional life besides kind of in the traditional aircraft market?
Eric Mendelson: Yes. I think definitely. When you look at the aeroderivative market, there is tremendous life in repurposing those engines. There are many companies doing that, whether it's on some of the old CF6s or the CFM56s. But the use of the HEICO parts in those repairs and overhauls is, I expect going to be substantial. So I think that there is a very good tailwind for us there.
Operator: And we'll take our next question from Jonathan Siegmann with Stifel.
Jonathan Siegmann: Congratulations on the quarter. Just one for Carlos. Just looking back at space organic growth in ETG in the Q last year, it was exceptional, $13.5 million year-over-year. So you're going to give us how much it was down this quarter. Can you -- in this Q, can you preview what that decline is?
Carlos Macau: The decline was -- yes, I can give you some color on that. So the decline in space organically was in the high single digits for the quarter compared to Q1 of '25. And as Victor mentioned earlier, Jonathan, it's not a result of order volume kicking down or backlog not being there. It's really just a function of shipments, always is with space. And so I wouldn't read too much into that to be candid with you. I think you'll see some of that recover in the subsequent quarters as we catch those shipments going forward.
Jonathan Siegmann: I think that shows it has to do with that great strong comp last year. And the other question I've heard folks ask us is you have exceptional positioning with the legacy space and defense hardware providers. How is your penetration with new customers in this area? Are you guys able to maintain positions at these new people in space and defense?
Victor Mendelson: Thank you, John. It's a good question. The answer to that is yes. We picked up a number of new space and defense tech customers along the way. And so far, we're holding on to them. The way we generally look at it is that we are going to supply the customer base. They need our parts, our products regardless of who they are. And for the most part, that seems to be holding true. Thanks for the question.
Operator: And we'll take our next question from Tony Bancroft with Gabelli Funds.
George Bancroft: Great job. Mine obviously is revolving around the defense budget. You saw the proposed potentially a $1.5 trillion budget. Even if that doesn't come to fruition over a number of years, is still -- it's a big number just directionally. How do you see that impacting your business? Maybe just broad strokes on that? And then obviously, all the announcements earlier this year from the Department of War on the programs, drone dominance, arsenal freedom, you name it. How -- what have you been told that you've spoken to the Department of War and just maybe an overall view on those dynamics?
Victor Mendelson: Well, first, Tony, thank you very much for joining us and for your comments and we very much appreciate them. In terms of the outlook for us, the impact on us, first question that you asked, the impact on us of the increased defense budgets and some of these orders that definitely is beneficial. I mean, obviously, the devil will be in the details ultimately where that falls over the years. But from what we see and have heard, and we talked a little bit earlier about some of these multiyear buys that the government is doing on programs we're on both sides of the business. This applies to both the Electronic Technologies and Flight Support groups. There's definitely an impact and a benefit. And maybe we're even seeing some of that in our backlogs now, and that's a good thing. And in terms of the Golden Dome possibilities, it's not that completely defined publicly. But from what we know and what we see, it consists of a lot of existing programs, particularly obviously, missile defense programs. And again, we're on both sides of the business, Flight Support and Electronic Technologies. We're on a lot of those programs. And there appear to be some newer tracking and reconnaissance parts of that system. And we are -- from what we're told, some of the things we're selling on, I can't go on obviously, specifics, but we're told that they are for Golden Dome. There's no Golden Dome department. You don't get a letter head that says Golden Dome is officially Golden Dome. There was this list of companies they put out as primary vendors. But remember, we're down a layer in the supplier base. And then, of course, as I answered earlier, I mentioned the defense tech guys are participating there, it appears in a variety of ways, and we're picking that up as well. So overall, both are positives for us, and we feel good about them, again, both sides of the business.
Operator: And we'll take our next question from Louis Raffetto with Wolfe Research.
Louis Raffetto: Maybe one for Carlos. Just the stock comp expense was pretty high in the quarter. I know it was sort of called out in the press release as well. Just curious, does that level continue throughout the year? Or does it step down? Or does it ramp up?
Carlos Macau: It's a good question, Louis. The -- if you recall -- you may remember last year, we talked a little bit about the performance feature that were attached to our options in '25. And what winds up happening is when -- normally, our options historically have always just been time-based. The vest over 5 years. Now we added a performance feature last year for growth in the business. And what winds up happening is the amortization of that expense actually accelerates as a result of that. It's part of the accounting rules that drive us crazy sometimes. But nonetheless, -- so what will happen is we'll probably catch a little bit more of that elevated expense in the front half of this year, and then it will taper off towards the end of the year. And in fact, as we get into the following fiscal year, it should taper down probably on par or lower than what it had been historically because we would have amortized a lot of those 25 grants in fiscal '26.
Louis Raffetto: I appreciate it, Carlos. Yes. I know how much you love all the accounting on that.
Carlos Macau: Yes, right.
Louis Raffetto: Maybe one for Victor and Eric, just kind of, again, big picture here. Obviously, you guys have grown a ton over your 36 years. You're kind of in the $5 billion neighborhood. So just how do you guys think about the scale of the business, the sheer number of underlying businesses that are operating? And at some point, do you see some other potential portfolio action as making sense?
Victor Mendelson: Yes. Listen, we've been able to adjust and grow with the business and morph, if you will, the organization as we've gone. There was a point in time where everything reported either to Eric or to me, this is Victor speaking, reported to one of us. And over time, we've gone to more of a bit of a working supervisor model, if you will, really extraordinary and talented people who show an ability to handle multiple companies at one time and acquisitions as well, multisite situations, for example, and they are leading groups, and we've been breaking this down into groups of both sides of the business, and that's going to continue. And the acquisition, you probably noticed the acquisitions we've made have generally been into those groups or into or under reporting to another subsidiary. So we want to keep that talent doing it that way. And we think that's very scalable.
Operator: And at this time, I will turn the conference back to the management team for any additional or closing remarks.
Eric Mendelson: Thank you very much, everyone, for participating in our call and for those who asked questions. We are always available, it's Eric, Victor or Carlos for any of your additional questions that you may want to ask offline. And we look forward to speaking with you again on our second quarter fiscal '26 conference call at the end of May. So thank you very much, and this concludes our call.
Operator: Thank you. And this does conclude today's call. Thank you for your participation. You may now disconnect.